Alessandro Dazza: Thank you and good morning to all of you. Thanks again for joining us to review Imerys 2022 third quarter results. With me in the office today, as always, Sebastien Rouge, our CFO. Let me start by giving you a few key messages on the quarter. Overall, I would say, another solid quarter profitability in an economic environment, which is certainly showing a slowdown, especially in Europe. Latin America, which is holding quite well, with good performance as well as Asia with the exclusion of China, mostly due to lockdowns. We moved on with our strategy and after the announced and still ongoing divestiture of the high-temperature solution business. In this quarter we reached an agreement for the sale of most of our assets serving the paper market. Last week we have also announced our plan to become potentially a major player in the European lithium market with this very large project in the center of France. Looking at the financial performance of the quarter and of the 9 months and before commenting specific figures, let me point out that what you see on this slide and in most of the presentation has been restated to exclude the high-temperature solution business, considered according to IFRS 5 norm, a so-called discounted operation. The 4 results reflect only continuing operations. Sebastien will give you more technical details on the subject later on. Imerys posted good performance in the 9 months, record sales again, close to €3.3 billion for the new perimeter, driven by pricing action, again, necessary considering the rising inflation, but also thanks to a good level of activity in most end markets. As anticipated in Q2, the volumes decelerated amidst especially in Europe with some softer markets, and we will go in details later on. We have continued to do our duty on pricing. It was needed. We have to offset extremely high inflation, in average 18% year-to-date with a peak of 22% in the third quarter alone. These actions allowed Imerys to post, again, a positive balance between price and variable costs. Our current EBITDA continued to grow, increase of 10% versus previous year, reaching €568 million for the first 9 months. Sebastien, again, will give you more details of this good performance later on. Current net income from continuing operations reached €221 million. It's a double-digit growth compared to last year. On the net income for the group, there is an impact by a non-cash goodwill impairment of €99 million relating to the disposal of the assets for the paper industry. Again, Sebastien will give you more details. If we look now at organic growth, a constant perimeter and FX. You can see, again, even if restated that revenues continue to climb in Q3 2022 with an organic growth of 13%. It's the ninth consecutive quarter-on-quarter revenue growth for Imerys. Even if we include the HTS perimeter, the growth would be confirmed. Let's go through our key markets or key end markets. We have removed the slide with the pie because we are reworking it. We are changing it to take into consideration our new exposure to the different end markets, and it will be updated and presented to those of you present to the Capital Market Day next week. Construction markets held relatively well overall, including Europe, drop in the U.S., especially in residential activity due to housing price inflation and, of course, rapidly rising interest rates. Typical figure people look at is the number of new construction permits, which dropped significantly, and we see that in the figures on the table. Iron and steel had a significant drop in Q3, impacted by lower demand in general in all markets. Europe on top has a clear impact of surge in production costs, especially energy. Several steelmaking plants have been multiple. The trend probably is expected to continue in the coming weeks or months. Moving to the next slide. Automotive showed incredible rebound. But Q3 largely enjoys a favorable comparison basis of last year, which was the peak, if you remember, of the semiconductors shortage. These are good news because, as you know, automotive is an important market for the group. And we do see a rebound in our order intake for our mineral solution serving the market. Still I would say the overall car production volumes are below 2019, especially in countries like Europe, North America, China is the only one I would say that is back to '19 levels. Inflation and uncertain legislation going forward at the moment does not help the sector even if the semiconductor shortages are easing. Paper markets declined in Europe, structural, I would say, and then U.S., remains positive in Asia and in India and in more developing countries. The final slide on the market. Consumer Goods were resilient in Q3, despite escalating inflation, we fear it could undermine consumer confidence with a potential effect on consumption. But for the time being they are holding quite well. Electro vehicles, needless to say, continues to be very dynamic in all geographies with some markets particularly upbeat, thanks to incentives. The last slide on my side to focus on the cost price balance. Imerys has managed to offset this extraordinary rise of inflation in the first 9 months of 2022. I think it's a great achievement given the current context. The balance price variable cost was positive also in Q3, specifically, even though inflation continued to accelerate, I remind you that particularly in Europe, we saw new record highs in energy in August. Personally I believe we have passed the peak of this inflationary spiral, at least in manufacturing, consumers might be a different story. And I do expect input costs if not to decrease rapidly, at least not to increase any longer. This should give us the possibility to pass on some savings to our customers because I think it is important to safeguard the relationship with our customer base. I now hand over to Sebastien for more details -- for a more detailed analysis of our financial results.
Sébastien Rouge: Thank you, Alessandro. Good morning, everyone. And as mentioned in the introduction, I remind that all sales and current EBITDA figures that we present here exclude our HTS business as per IFRS 5 norms. Let me walk through some of the key aspects of our financial performance, and we'll start with revenue. The sales reached over 9 months, €3.26 billion, that's a 19% increase versus prior year. This was mostly driven by €522 million price increase, which corresponds to 18.3% price effect on sales. And you will note that in Q3 alone, this percentage was plus 22%. The increase in revenue also includes a positive currency effect of €170 million. This mainly reflects the strengthening of the U.S. dollar against the euro. There is a negative €49 million perimeter effect, which relates mostly to the disposal of our Kaolin business in North America that dates from March 22. And I remind you that a different business from the one that we are currently disposing in terms of paper assets. Finally, volumes were negative at minus €122 million due to the demand softening in some markets, and we'll see that in the following slides. If we look now into more detail at our 2 business segments and their respective markets. We start with Performance Minerals. This segment now mechanically generates 66% of the group's turnover, with global sales of €2.2 billion in the first 9 months of 2022. All regions saw an overall good level of activity with like-for-like revenue up 16.5% in Q3. If we look at the applications, markets were supportive overall in North America and more contracted in Europe where ceramics and consumer goods compensated with plastics, paints and paper markets. Reported under Asia Pacific, we continue to benefit from the ongoing growth of our graphite and carbon activities, in particular for mobile energy. All markets were supportive in Asia, except ceramics in the region. Looking now at our High Temperature Materials & Solutions, which corresponds now to our refractory, abrasive and construction business area. It totaled €1.1 billion in the first 9 months of '22, representing 34% of Imerys' consolidated revenue. The 14.9% organic growth of RAC was supported by building an infrastructure, which were well oriented and compensated for soft refractory and abrasive markets. Note that the Russia and Ukraine had a negative impact from RAC of approximately €15 million in the first 9 months of 2022 and the Chinese lockdown of about €10 million in the same period. In India, the new greenfield plant in Vizag continued its ramp up. Now let's go back to the consolidated figures and the group's profitability as a whole. Current EBITDA for the first 9 months reached €568 million, up 10.2% year-on-year. This evolution reflects a strong price FX contribution of €522 million, which more than compensated for the very large €374 million net increase in variable costs and the €100 million increase of fixed costs and overhead, a consequence of extremely high inflation impacting in particular energy costs. We have also a currency positive effect of €44 million and a negative contribution of volumes of minus 55. As a result, current EBITDA margin is resilient, and you will see that also in the detailed financial in terms of sequential improvement of EBITDA in absolute terms. In Q4 last year, the first wave of inflationary impact -- impacted EBITDA. You remember it recovered gradually in H1 with €568 million EBITDA in 9 months, it corresponds to 74% of sales. If we look now at the other elements of our income statement. Once again, this income statement does not include for the upper part, HTS, which only appears on net income from discontinued operations according to IFRS 5. In absolute terms, the increase of our current EBITDA drives the increase of current operating income, which has reached €346 million, up 16.9% versus last year. Income tax expenses of €84 million corresponds to an effective tax rate, almost unchanged at -- of 24 -- 27% in line with last year. Current net income from continuing operation and per share were up 15.7%. The group net other income and expenses includes the exceptional non-cash impairment of the assets serving the paper market, of which disposal process is ongoing. As per IFRS rules, paper assets, spread over Imerys industrial network are part of continuing operations as long as they belong to Imerys. Therefore that's where we have booked this non-cash impairment. Net income from continuing operations totaled then €124 million. The net income from discontinued operation, the impact of HTS disposal reached €69 million in the first 9 months of 2022, higher than last year because of the good HTS performance and also because of the hyperinflation booking that we reported already and shared with you in H1. This particular IAS 29 entry reached €20 million up until September this year, all of it being part of discontinued operations. Hoping I could shed light to this P&L statement that reflects at best the different transactions we are engaged in, I hand it back over to Alessandro for the outlook.
Alessandro Dazza: Thank you, Sebastien. Let me wrap up this Q3 presentation. Looking at the end of the year, I do expect business in Europe to remain soft. We see a worsening environment. U.S. and Asia, on the contrary, should remain quite strong, and the actions we are putting in place on the cost side as well as on the pricing side, should allow the group to continue performing well. And for this reason, we do confirm our current EBITDA guidance for the full year. The one we have announced in July, I remind you, for the full perimeter was €810 million -- €840 million, which translates into a €690 million, €710 million with the exclusion -- after the exclusion of HTS. As said, we confirm it, we believe it will be on the high end of this range and deliver another year of growth.  Thank you for your attention, and we open the floor to questions.
Operator: [Operator Instructions] And the first question comes from the line of Laurent Runacher from Exane.
Laurent Runacher: And congratulations on the work on the EBITDA margin. I just wanted to focus on the volume drop in Q3. Is it possible to get a comparison between what would be this organic growth and volume growth if we were in the new perimeter of the group, i.e., with all the divestments versus if we were with all the former activities, even including high-performance solution -- high temperature solutions, sorry.
Alessandro Dazza: Yes, it's clear, Laurent. The comment I would do is the following in volume, for sure, is a recurring question. We will see the contribution of this HTS, the high-temperature solution business in the 9 months was positive, thanks to a very strong first half of the year. As you remember, steel rebounded and the steel production rebounded strongly at the end of last year and beginning of this year. So our HTS business posted -- is posting for the 9 months, still a positive volume. And therefore the contribution in case we consider the old perimeter would be better than the one that we are showing now. But the rules -- accounting rules impose this kind of analysis and therefore the numbers you see here. If you look then at the other businesses, I would say, and if I look year-to-date, the 9 months, America is still a positive volume growth. Asia is still a positive volume growth, while we do see a drop in volumes is in Europe. And I would like to remind that within Europe, we have around 1.5% in relation to Russia and Ukraine that we don't speak anymore, but the group was exposed to Russia, Ukraine in these amounts. And we are also subject to slightly above 1% in China because of lockdowns. A good example is yesterday, our biggest plant has been shut down again because in the city of Yingkou, there was COVID cases. So the city will be down for 10 days minimum. So all of these represent alone, I would say, a good 2.5% to 3% of the volume drops. The remaining part, which is, as I said, largely Europe is driven by paper. Last year, certain paper mills, where we were main suppliers shut down. So we still see the volume impact, which is, call it, almost a perimeter impact because simply the mill closed. And for sure, a weak markets in automotive in Europe that is starting to pick up and will be good news for the future, but it does have an impact this year. Last, I would say, Europe, certain energy-intensive activities being ours, typically Iraq or our customers have slowed down in summer because of the extremely high and I refer to tiles production, ceramic production, some paper mills, some steel mills have shut down because of incredibly high costs. And therefore we have seen that in -- quite directly in our volumes. That is the analysis around volumes.
Operator: And the next question comes from the line of Jean-Christophe Lefevre-Moulenq from CIC Market Solutions.
Jean-Christophe Lefevre-Moulenq: Two questions for me, if you accept. The first one to follow-up of the question of Laurent. Could we quantify the volume effect of Q3, including the divestment in progress of the HTS. And secondly, could we have more color on energy combustible and electricity. What is today, the degree in percentage of the hedge and specifically electricity power in France, what is the percentage of the purchases covered by iron?
Alessandro Dazza: Do you want to start answering the second one Sebastien?
Sébastien Rouge: So we've got overall more than 50% of the French electric consumption covered by iron. And that is relatively stable in the last year. We have -- I mean, hedging, as you know, is relatively difficult these days, in particular in period where the spot cost of energy in Europe are well lower than what we have been for a while. So this being said, since our last discussion, we have resumed some hedging when the prices have, I would say, decreased a little bit for 2020 -- for the end of '22, that's for sure, but mostly for a portion of 2023 in particular, gas consumption in Europe where there were more acceptable forward that could be put in place.  In terms of electricity, other than the specific country setup, Iron being the biggest one in Europe. We have a very low coverage of the electricity cost in 2023. Again, because forward up to now have been very high, and we, I would say, good intelligence with our customer, did not want to look us at too high prices, but more working with surcharges that's okay, folks, I would say, to the customer to accept the price, but also give a possible relief for them when the prices go down. And that's what we hope will happen in a few weeks or months that we'll be able to decrease a bit the energy surcharge that we have been able to make right now up until the situation stabilizes, and then we can resume more long-term hedging on electricity also.
Alessandro Dazza: And if I look at current energy prices in Europe, the trend is clearly downwards both on the gas side and the electricity side. I hope it's not temporary because of the good weather, but it's -- it would be good news for the markets, for our customers and for Imerys to see a more normal energy level in Europe.
Sébastien Rouge: Yes. And I would say we are pleased we were not hedging Q4 with the very big figures of the end of the summer. That's for sure.
Alessandro Dazza: And for volumes, the specific detailed analysis between Q3 only with and without -- I don't have the figure. The number I can tell you is that if you look at our year-to-date volume effects, which is around 4% down, including Russia and Ukraine and this lockdown in China. And if you look the old perimeter, it will be more around 3%. So as said, HTS, the high-temperature solution business is still contributing in terms of volume this year, thanks to a very strong first part. We are in the full middle of restating all these figures, and that's to give a full picture as soon as available.
Operator: And the next question comes from the line of Sven Edelfelt from ODDO BHF.
Sven Edelfelt: I would like to come back on Laurent's question about volume decline. You said that Ukraine and Russia is minus 1.5%. China is minus 2.5%. If my calculation is correct, paper should account for about minus 3%. And then the RAC customer slowdown that you experienced in summer is minus 2%, and that is roughly the minus 8.7% decline in volume that you had in Q3. Is it a fair picture of the situation? That's the first question. Second one, have you experienced a destocking effect in Q3? And how should we consider destocking effect in Q4, especially since Calderys is no longer [Technical Difficulty] within your scope. And then the third question would be more on the number you've provided. You gave us the 9-month figure with the restated number. Would it be possible to have the restated number for 2021 to have a better view of Imerys going forward?
Alessandro Dazza: Thank you, Sven. Your calculation on percentages, I'm not sure I can confirm it. The only one that for sure is wrong is China, 2.5%. China is around 1%. What I was saying is Russia/Ukraine is 1.5%. China could be around 1. So together, they are 2.5. But China alone is not 2.5 percentage. I don't have the exact figures on how much is the paper impact and the automotive. But largely, the items you mentioned are the ones that are -- have caused volume drop throughout the year, for sure, and a more -- a higher impact in Q3. In terms of your second question in terms of destocking, we start to see, as always towards the end of the year, a move of customers to control and manage their inventories, which is the reason why we -- as we have stated in our outlook, we do expect a soft Q4, partly it's -- and clearly, in Europe, partly is the question mark on the economy and the impact of inflation and energy, will we experience closures and shutdowns because of lack of energy or reduced consumer confidence to be seen. We have chosen to take, as we always do a more conservative approach. The deals plus a potential destocking at some accounts, especially in the world of iron and steel, where we clearly see a reduction of production volume should lead to a softer Q4. Massive destocking, no specific portal destocking, yes, and the fact that Calderys or high temperature solution is or is not in our perimeter does not change much. They will do their parts like every other customers. And the impact would be, I would say, is more the market itself that will determine the level of destocking rather than the fact that it's part or not. That's the way I see it. And in terms of 2021, I think figures Sebastien Rouge, if you want to comment, but figures 21 have been restated.
Sébastien Rouge: Full year has been restated, we'll obviously give a little bit more color on that in the Capital Markets Day next week. But to answer specifically to your question, last year, total sales post restatement was €3.66 billion with account EBITDA margin of 17.8%, so a little bit over €650 million EBITDA for the full year after the HTS restatement.
Sven Edelfelt: And can I ask a follow-up on Europe because it seems Europe is the part who is dragging the overall volume down. Could you provide us a sense of where the volumes are in Europe compared to North America and Asia? Because if I'm not mistaken, it seems that North America and Asia are still up and to get to the minus 9% volume. It means that Europe has to be down by a lot. So could you help us understand reconcile those numbers?
Alessandro Dazza: Being up can be only a few millions, Sven so you -- everything shall be taken in relation. But the answer is clearly, yes. The U.S. is still -- the Americas are still posting a solid market. We do see some -- as we saw in the market presentation, we do see some caution on the construction market going forward. But the overall trend is positive. Don't forget that our RAC business, Refractory, Abrasive and Construction is a global business and is reported as such. Therefore they are also impacted outside of Europe. The impact in China is fully in RAC. So it's in Asia, but we don't report it formally under Asia because Asia for us is performing Minerals Asia. So it's not a one-to-one calculation as you're presenting. It's a bit more complex. But I think what is key is, so far, APAC is holding with the exclusion of China self-inflicted lockdowns, the Americas are holding and really, Europe is impacted especially by this energy situation that forces a lot of people to slow down which I hope will be addressed by our politicians in the coming weeks.
Operator: [Operator Instructions] And the next question comes to the line of Adrien Tamagno from Berenberg.
Adrien Tamagno: Yes, coming back on the volume question, like if I take Q4 '21 at the group level and removed high temperature solution, I get €917 million revenues and applying the 17.4% EBITDA margin, assuming it stays flat, I get €155 million. So that is enough to meet your guidance. So are you telling us that volumes are going down double-digit in Q4? That's the first one. And secondly, yes, on the pricing, you're talking about decreasing the surcharge. You say energy is up 80% year-to-date. And I think it's only around 10% of your viable costs. So with prices up 18% year-to-date, would you give up only 2% on prices, assuming price -- energy prices come back to 2021 levels. And if I can ask the last one. Can you give us more color on the stages of the payments for the paper market disposal? And why would you decide to go for earn-outs if you see this business declining?
Alessandro Dazza: I will start on the pricing and then let Sebastien comment a bit on the specific figures you are asking for. The calculation on energy, you do is a bit simplified because it depends a lot on country to country. In Asia, we have almost no inflation on energy are very limited, a bit stronger in the Americas and extremely high in Europe. We have surcharge this year, we have implemented price increases and surcharge formulas. So when and if energy goes down, they will be passed through to customers positively for the customer. But the surge represents probably today, I would say, less than half of the overall increase. So message and passing is typically in a downtrend world, we should be able to keep a bit more margin than what we pass on to customers. So profitability in average should improve when inflation drops or goes back to more normal levels. Then every product is different. Some products have 30%, 40% energy component, other have 5% energy component. So it depends really on the region and on the product itself, but returning some surcharges to customers should not necessarily be negative on the contrary. I think overall could be beneficial for Imerys. Sebastien, in terms of the EBITDA calculation?
Sébastien Rouge: Yes, I think the calculation was to compare the guidance with Q3 and how we developed last year. I think your math is generally right. If we generate in terms of absolute EBITDA, something close to the actual of Q4 last year, then we are in the good range of our guidance. I think that's a way to look at it, that last year, Q4 was not very good in terms of EBITDA margin. You remember that, that's where the costs have increased a bit faster than our sales price at the time. We did catch up in this year. But if we were only to do that in Q4 this year, we would reach our guidance, you're right.
Alessandro Dazza: And as I said before, probably on the high end of the guidance. I would like also to remind you that when you separate a business on a stand-alone, like we are doing today for HTS. There are a number of group overheads that will remain with the group and are included in our current assessment of performance and will partly be -- need to be addressed going forward if the perimeter of the group remains smaller. And the last question, I think it was on the stage payments of the -- and the earn outs on the divestiture of the paper assets. It is the agreement we have reached with a potential buyer. As you say, it is a declining business, structurally declining. It is the main reason why we have decided to exit. It has been -- although it has been a profitable business, it has been structurally declining for many years, and it has been a burden in terms of growth for this company. That's what the strategic decision to move away. It's a compromise when you sell something which is maybe not as attractive as other businesses like the high temperature solutions business, you have to compromise, but we do believe that this business properly managed, can deliver good results going forward. And therefore, we believe we have a fair chance to receive these earn-outs over time as the business will continue and paper will continue to be used and with a dedicated team and a focused team only on this business, managing potential capacity reduction if and when needed, there is a future. And that's why we have agreed with the buyer on this, let's say, stage payments and earnout flows.
Operator: And the next question comes from the line of Eleonora Martignoni from M&G.
Eleonora Martignoni: I have 3, if I may. The first is, I expect you would provide an update on this at the Capital Markets Day next week. But would it be possible to have an indication on capital allocation or the proceeds for the 2 disposals of HTS and the paper assets. The second question is a more general one on volumes. What sort of volume drop did you experience during '08, '09, which is a great pretty broad question. And finally, what is your exposure to natural gas directly outside of electricity? I have around 3% of sales in, let's call it, normal times. Just wondering if that's sort of the ballpark correct?
Alessandro Dazza: Please allow us. Capital Market Day is really in 5 days. So on capital allocation, we will have time to present and discuss in few days, so allow us to delay the answer to next week. 2008 and 2009, 25%, I do not recall properly, but my Investor Relations team next to me says that we experienced a drop of approximately 25% in volumes during that crisis. And in terms of gas, I believe today, we are exposed about half-half of gas and electricity in terms of value. And that -- the 2 represents 90% approximately of our energy bill. The rest being fuel, coal and biomasses or renewable. So if we say that our energy costs used to represent 10%, so gas would probably be rather around 5%, so slightly more than what you mentioned, but in the ballpark, back-of-the-envelope calculation. I hope that's the question that you were asking. And to complete maybe Eleonora because it's important, especially in Europe. And of course, gas is heavily Europe, the remaining fuels.
Sébastien Rouge: No we're using gas in the U.S., but obviously, with less volatility in terms of price.
Operator: And the question comes from the line of [indiscernible] from [Invested].
Unidentified Analyst: Do you expect -- do you have specific information about China shifting its lockdown policy. It seems that rumors are going on that it would change now. And if it is the case, what would you expect of China's market post-lockdown China market?
Alessandro Dazza: I wish I knew. That's a really tough question. We do, let's say, by experts analysis and from different institutions. I would say, recently, I've been reading more positive news than negative news, meaning now that the Congress is over and the future political career of the precedents of China has been reaffirmed and reassured and confirmed to the benefit of the economy, there could be a relaxation or a different approach to COVID. Again, it's not my opinion if I could summarize what I've been reading very recently. So potentially an improvement, the Chinese economy is suffering from these lockdowns, clearly, construction is down. A lot of productions are down and growth numbers are rapidly dwindling. So that's what I've been reading, but I can only repeat, I've really no view on this. For the time being, as I said, it can come very rapidly. Yesterday, we were noticed. People in the plant are allowed to continue working in the plant. We have to supply them with food, but nobody can enter, nobody can exit, we cannot ship, trucks cannot travel in our biggest plant in China. So for the time being, the effect is still there. I would say, with maybe a bit more hope at the horizon where then will China go if this is largely removed again, probably not the best person to tell you, I really don't know.
Unidentified Analyst: What is the proportion of revenues from China presently?
Alessandro Dazza: I would say before the divestiture, it was around 7%. So China represented between €300 million and €350 million of sales, largely domestic. So locally, there is a bit of imports and a bit of export, but largely produced and sold locally. We will restate all this figure to exclude the high-temperature solutions business, but it was not the most predominant. So this number is there to stay and maybe even slightly increase. It is, I believe, the third largest market or the fourth largest market for the group after the U.S. and probably Germany, France, so it is a very important market for the group.
Operator: And the question comes from the line of Laurent Runacher from Exane.
Laurent Runacher: Yes, a very quick one on the energy deal. To what extent the divestment you've been doing in a way, a good thing to lower your energy bill?
Alessandro Dazza: Well, they are not necessarily a good -- it's -- the HTS business is not the most energy-intensive from all our businesses. So I would say more of the opposite. It's less energy intensive than the other, maybe with a small exception of our operation in Turkey. But other than that, it's using less. And I would say, paper type of business, yes, it's average of the group, but it's probably less intensive in Europe than the rest because of the footprint. So it does not really help from this standpoint.
Operator: There are no further questions via speakers.
Alessandro Dazza: Thank you very much for listening to today's results presentation, and I hope to see all of you next week. Thank you very much. Have a good day.
Sébastien Rouge: Thank you.